Operator: Greetings and welcome to Public Storage First Quarter 2025 Earnings Call At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ryan Burke, Vice President, Investor Relations and Strategic Partnerships.
Ryan Burke: Thank you, Rob. Hello, everyone. Thank you for joining us for our first quarter 2025 earnings call. I'm here with Joe Russell and Tom Boyle. Before we begin, we want to remind you that certain matters discussed during this call may constitute forward-looking statements within the meaning of the federal securities laws. These forward-looking statements are subject to certain economic risks and uncertainties. All forward-looking statements speak only as of today, May 1, 2025, and we assume no obligation to update, revise or supplement statements to become untrue because of subsequent events. A reconciliation to GAAP of the non-GAAP financial measures we provide on this call is included in our earnings release. You can find our press release, supplement report, SEC reports and an audio replay of this conference call on our website, publicstorage.com. We do ask that you initially limit yourselves to two questions. Of course, after that, if you have more, feel free to jump back in queue. With that, I'll turn the call over to Joe.
Joe Russell: Thank you, Ryan, and thank you for joining us today. Tom and I will walk you through our Q1 performance, industry views and outlook, then we'll open it up for Q&A. Our performance during the quarter was in line with our expectations as we continue to drive stabilization across our portfolio. Move-in volumes increased over 2% as we drove more people to our website and increased customer conversion. With move-ins up and strong in-place customer behavior, the same-store occupancy gap to last year closed from down 80 basis points on December 31, to down 30 basis points on March 31. Revenue growth in our same-store pool turned positive and improved sequentially again after more than two years of deceleration record growth in 2021 and 2022. Revenue growth in our non-same-store pool, which comprises 520 properties and 21% of our portfolio accelerated to nearly 11% as it continues to be an engine of growth. And all of this helped drive core FFO per share growth of more than 2% for the quarter, a 200 basis point improvement sequentially versus last quarter. We are well positioned due to our high-quality portfolio, innovative platform and company-wide competitive advantages. These include -- our industry-leading revenue management consistently achieves the highest revenues per square foot in our markets. We are advancing the industry's most comprehensive digital transformation with customers choosing digital options for 85% of interactions and a new, more efficient operating model that includes using AI to staff or field more efficiently. Coupled with additional advantages across the Public Storage operating platform, this drives same-store operating margins meaningfully higher than the rest of our industry. And we have broad ancillary and external growth avenues, including acquisitions, development, redevelopment, domestic and international expansion, tenant insurance, third-party management and lending. Our experienced acquisition and development teams are actively growing the portfolio. The $184 million we have acquired or under contract as of today is ahead of the $35 million achieved at this time last year. In total, our sizable non-same-store pool will deliver an additional $80 million of NOI through stabilization in 2026 and beyond. Our recently announced proposal to acquire Abacus Storage King, one of the leading owner operators in Australia and New Zealand is a great example of our capabilities at play. As we demonstrated with Shurgard in Europe, we are uniquely positioned to execute on international growth. And all of this is enhanced by the industry's best balance sheet which provides Public Storage, both stability and the ability to execute on growth across economic cycles. Favorable industry dynamics benefit us as well. This is a needs-based business that is largely driven by customer events that happen in all economic conditions. Additionally, an evolving economy creates new customers as our demand drivers shift. With low nominal dollar rents, we are also affordable relative to the other space alternatives. This, coupled with the customer need tend to make self-storage more resilient to changing economic conditions than many other industries. And it's important to keep in mind that our industry is already being normalized over the past three years. Move-in rents have declined significantly due to softening demand and competitive market behavior. Our new customers are moving in at very affordable rents that are in line with levels not seen since 2013. We are in a good position to benefit from both rising rents and occupancy in an improving demand environment. Now, I'll turn the call over to Tom.
Tom Boyle: Thanks, Joe. We are driving growth across our broad set of capital allocation opportunities. We delivered $144 million of development during the quarter and have a robust pipeline of about $650 million that we will deliver over the next two years. While industry delivery volume is declining overall, we continue to both grow and enhance the quality of our portfolio through our best-in-class development team. As Joe mentioned, acquisition activity also picked up in the first quarter with 14 properties acquired were under contract for $184 million through today. In Australia and New Zealand, we are excited about the potential to partner with Abacus Storage King and Ki Corporation, their major shareholder to help enhance the Company's customer experience, operating performance and portfolio growth. Given where we are in that process, we're very limited in what we can say on this call, but we'll continue to keep everyone updated as appropriate. Our capital and liquidity positions are very strong. In fact, they are getting even stronger this year with retained cash flow expected to increase by 50% to approximately $600 million. Industry-leading leverage balance sheet capacity and cost of capital allow us to execute in scale across our growth channels, coupled with improving fundamentals and less competitive new supply, we're poised to increase our portfolio growth activity moving forward. Now shifting to financial performance for the first quarter, led by higher rental rates same-store revenues turned positive following three consecutive quarters of revenue declines. Same-store expenses were well controlled at 30 basis points of growth, driven by our operating model initiatives and moderated advertising spend. Meanwhile, we drove good move in volume in the quarter. Core FFO per share was up 2.2% year-over-year to $4.12 per share, representing a strong 200 basis points acceleration from the growth level achieved in the prior quarter. Our guidance for 2025 is unchanged. One note regarding the first quarter relative to the rest of the year. As expected, there was minimal impact from the fire-related pricing restrictions in Los Angeles during the first quarter. However, we do anticipate it will grow and ultimately have a 100 basis point impact on same-store revenue growth for the year. All in, Public Storage is very well positioned today. The self-storage industry is very resilient. Our leading operating platform is driving peer-leading performance and acceleration across our portfolio. We are further enhancing the platform through digital and operating model transformation. And our balance sheet while providing stability is also allowing us to grow across our multiple channels in combination with significant retained cash flow. With that, Rob, let's open it up for questions.
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Nick Yulico with Scotiabank. Please proceed with your question.
Daniel Tricarico: It's Daniel Tricarico along with Nick. I'm trying to gauge the level of conservatism in the guide. Can you help us square away the increasing confidence in fundamentals bottoming with the rate gap staying down 5% through the year, implying we're just bouncing sideways along the bottom. At what point do comps become easy enough or demand picks up enough to see a lift off that bottom because theoretically, you don't stay in storage forever, so I can only get you so far in the long run?
Tom Boyle: Okay. Thanks, Dan. I think a couple of things to highlight there. We did have a good quarter in the first quarter, in line with our expectations, as Joe noted. In terms of the guide overall, our performance was in line with expectations. As you highlighted, move-in volume was strong in the quarter, in positive territory. Move-in rates were down circa 5%, a little bit better than 5%. As we look at April, which is maybe another indicator for you in terms of trends overall, we are monitoring customer behavior very closely in this environment given the volatility in capital markets and certainly trade policy news flow through the month of April. And overall, I'd categorize customer behavior in April as very good. Payment patterns and delinquency were solid. Move-out volumes were actually down 1%. Longer-term tenants remain strong through the period. And in terms of move-in activity, which is I think where you were going in your question, move-in volumes up a good 3% in the month of April. The move-in rate was down 8% in April. Again, if you look at year-to-date move-in rates down right around that 5% number, which is in line with the midpoint of our outlook for the year. So trending right there. Occupancy did improve given the stronger move in volumes and the decline in move-out volumes through the month such that the start of the month occupancy was down 30 basis points. Occupancy finished April down 10 basis points. And to your point, we are seeing demand overall for storage bouncing off that bottom and that's leading to some stabilization in many of the metrics I just spoke to. So, some encouraging trends year-to-date. And overall, we'll keep you updated as where we go from here.
Daniel Tricarico: Okay. And then as a follow-up, can you comment on the private capital raising environment for storage? How has it evolved competitively the past few years as fundamentals have softened? And have you seen a pickup at all in anticipation or recovery?
Joe Russell: Well, if you're speaking to the overall acquisition environment, again, there's a lot of things at key off of the commitment that any given platform is going to make into storage. Clearly, over the last several years, we've seen far more institutional capital come into the sector for obvious reasons relative to the inherent benefits that we're even speaking to in an environment like this where we can see still the ability to perform, draw customers to the platform. We're coming off a number of quarters now that Tom just spoke to relative to our confidence going into 2025, even with the choppy environment that's evolved over the last 30-plus days. With all that, there is still a fair amount of institutional capital that's interested in coming into the sector. With that said, however, transaction volumes in 2024 were abnormally light. And going into 2025, they are actually just as light, even though we've seen a few indications of a bit more transaction opportunities evolving. So, we're going to have to see how this plays out relative to the commitment that other capital sources are putting into the sector. But overall, we're confident that we've got very good tentacles into a whole range of different users and owners that are likely to trade even in this environment, and we'll keep you posted on our progress.
Operator: Next question comes from Ron Kamdem with Morgan Stanley. Please proceed with your question.
Ron Kamdem: Just two quick ones starting on the revenue side. I think you've talked about sort of Google Trends and advertising and top of funnel demand just would love to get an update on some of what those other indicators are saying in April and what they mean.
Tom Boyle: Yes, I'd say consistent trends through April, which is we've seen industry-wide search trends being positive territory year-over-year. As I noted, kind of bouncing off the bottom here in terms of our own indicators in our system across the country, seeing good trends there, too, with higher web visits, sales calls and the like. So, we're seeing that level of demand kind of bounce off the lows or the trough maybe of 2024, but certainly nowhere near what they were in '21 or '22. Maybe looking more like 2023 in terms of overall levels of interest coming into the system, which is encouraging given the trajectory we've had over the last several quarters.
Ron Kamdem: Great. And then my second one is just on -- when you sort of dissect the business, whether it's the business customer whether it's specific regions? Like have you seen any sort of trends that are to the good to the bad sort of post tariff as well would be helpful.
Joe Russell: So again, yes, Ron, there's not a lot of, I would say, trending data yet relative to what's happened over the last 30 days. As Tom mentioned, we've not seen any inherent change relative to both the trend we've seen from top of funnel demand from new customers as well as the behavior of existing customers. Across the entire portfolio regionally, actually, we were pleased to see another progression in certain markets, positive. Florida, for example, we're starting to see actually returning demand factors across the entire state, where it was far less so over the last year or so with the deceleration out of the peaks at that market, in particular, saw during the pandemic. We've now got a dozen-plus major markets that are continuing to trend well that we've been speaking to now for the last few quarters. So, nothing that I would say has gone a different direction based on the events over the last 30 days. The benefit that we have is we run a day-to-day business. We move in over 100,000 customers a month, and we've got very good reconnaissance relative to how that's trending market to market. But thus far, we've been encouraged by the lack of disruption in overall tenant behavior and tenant demand.
Operator: Our next question comes from Todd Thomas with KeyBanc Capital Markets. Please proceed with your question.
Todd Thomas: First question, Tom, you mentioned move-in rate was down 8% in April. It seems like you picked up a little bit of occupancy though. So, I'm just curious why the system pulled back on rate, if you can provide a little bit more detail whether that was a strategic decision or what that was attributable to?
Tom Boyle: Yes. Thanks, Todd. I mean I think you're going to see move-in rates bounce around a little bit by market, by month, all those sorts of things as we move through the year. So, in March, for instance, move-in rates were only down 2%, April, down 8%. So, as you highlighted, there's going to be some movement there, but ultimately trying to optimize towards revenue, and we saw a good move in volumes through the month of April and sets us up well here as we head into May and June, which tend to be a little bit busier time period as well. So, to your point, April was down 8%, a little bit lower on rate but good volume trends, and we'll continue to manage the overall rate volume picture ultimately to optimize towards longer-term revenue of the customer base from here.
Todd Thomas: Okay. And then in terms of development, and how that landscape may change or be poised to change as a result of cost increases around tariffs and other policy uncertainty. First, what are you seeing in terms of development activity more broadly? And second, what does that mean for Public Storage in your effort to maintain the pace of starts and deliveries and returns that you target?
Ryan Burke: Yes, Todd, the multiyear deceleration of development completions continues. So, year by year from the peaks that we saw in 2019, we've spoken to the again, continued decline of developments nationally. Certainly, there have and continue to be a limited number of markets that they're seeing outstretched development deliveries. But frankly, that trend is very healthy for the industry as a whole, as we've spoken to. And we're really not seeing any change going into 2025, meaning that deceleration is going to continue, I would say, from an overall supply standpoint, it has a two handle on it, meaning it's plus or minus 2% national delivery growth in 2025. So that compares to plus or minus 5% going back to 2019. So, the things that will continue to potentially maintain that deceleration or what you're speaking to, more risk tied to potential costs the availability and cost of land, labor and other component costs. And the things that, that continues to do counterintuitively, for us, it's a good window for us to come into many markets that we've been reticent to actually deploy capital into from a development standpoint because of some of those competitive factors multiple years ago, including actually other markets that we've actually put stronger emphasis to grow deeply. So, it's a very good window for our development team to go out and find better opportunities in an environment where we've got fewer competitors. They're doing just that. But we're keeping a very close eye on every component cost, including what may or may not play through on tariffs, whether it's steel, whether, again, we're going to see any labor pressure in particular markets because of immigration priorities, et cetera. So, we're going to continue to monitor that. But for us, it continues to be a very good window, and we've got a deep-seated team. We've got the capital structure to continue to fuel our development growth, and we're getting very strong returns that we're every bit, if not confident we're going to continue to see.
Operator: Our next question comes from Salil Mehta with Green Street. Please proceed with your question.
Salil Mehta: Congratulations on the quarter. Just a quick one here. But do you guys have any updates on the rent restrictions that we're seeing in L.A. I think the last one was like there was an executive order signed by the government to extend until July, but perhaps you guys have intel whether it's likely to be extended or maybe it's funded sometime soon?
Tom Boyle: Yes. Sure. Happy to take that. The fire-related state of emergencies that were declared by the governor earlier this year, last until the beginning of 2026. And so those are the relevant ones, and we're certainly complying with those as we go here. As we get through this year and the beginning of next year, we'll see ultimately what the governor intends to do with those emergencies, i.e., letting them expire, or extending them or something in between. So, we'll know more. As it relates to the impact to us, as we've spoken about, we anticipate that the impact of those restrictions will result in about a 100 basis point impact to same-store revenue, which will be back half weighted.
Salil Mehta: Awesome. And just another follow-up here as far as peak leasing season, but can you give us any color on what we can expect given that fundamentals really haven't changed much since what we saw last year? Do you guys have any optimism there will be like some return to normalcy for peak leasing this year? Or is '24 kind of the base case that we're looking at?
Joe Russell: Yes. Our base case for 2025 does not assume we would see an uptick in what you might have seen in more traditional environments where you see more of a peak leasing season. So that's not embedded in our base outlook for 2025. Month by month, we're going to see how that's trending. The demand factors that continue to drive customers to the portfolio are still broad-based. So, we're encouraged by that. But what typically you would see this time of the year is an uptick, particularly tied to existing home sale activity, movement across national markets, et cetera, and that's been muted as we saw in 2024 as well. So we'll see how that plays out as we go through the next three or four months.
Operator: Our next question comes from Michael Goldsmith with UBS. Please proceed with your question.
Michael Goldsmith: Maybe just a follow-up on the headwind from the fire restrictions. You've guided to 100 basis points for the year. It sounds like it's back half weighted. Is that -- does that imply that it should be about a 200 basis point headwind in the back half and a little impact in the first half? Or should that kind of ramp up slowly through the year? Like how should we think about the cadence of that headwind?
Tom Boyle: Yes, Michael, it's going to ramp up as we go from here.
Michael Goldsmith: Got it. And then my second question is there -- feels like there's been a little bit more just sale activity within the self-storage space lately. Like when you run a sale, is that is that a reaction to the market environment where you're looking to drive move-ins? Is it more of a function of an opportunity where you think you can capture market share? I'm just trying to get an understanding of how you're using sales these days? And then maybe if you can tie that into your platform, which you've talked -- I think you talked more highly about on this call than you have in the past. So, any sort of connection with that would be great.
Tom Boyle: Sure, Michael. A lot of components there. I guess I would say sale activity is probably a combination of all of the things that you highlighted there. Public Storage in the industry have been running promotional sales for decades, and we'll continue to do so through this year as we did last year and years prior. So, there are some benefits to doing that at certain points of the year and certainly an ability to drive volume into the system. And ultimately, fits within our strategy to manage for longer-term revenue optimization and combined with advertising and promotional activities. So big picture, I'd agree with you. It's a whole host of things that drive into it. We did run a little bit of a sale in April. We'll intend to run sale at Memorial Day like we typically do, but I wouldn't point you to any strategy shift there, more business as usual.
Operator: Our next question comes from Michael Griffin with Evercore. Please proceed with your question.
Michael Griffin: Appreciate the color on the dynamic staffing model and how that's been benefiting kind of your payroll expense. Can you give us a sense of, number one, how much of this has been rolled out into the existing platform and then how we should think about incremental benefits from this going forward?
Joe Russell: Sure. The thing that we've been doing step by step is with the robust level of data and knowledge that we have literally right down to each and every property relative to historic and then predictable levels of not only demand that coincides with the way staffing models can be optimized, meaning using our very effective in-person labor hours to match customer demand factors has given us very strong guidance into the way that we very differently staff our properties now on a very dynamic day-by-day basis. The predictability of this data continues to evolve and become more robust. And with that, we've taken iterative steps in optimizing those labor hours with the results that thus far we've spoken to and you're seeing come through our P&L. You saw a nice change in optimization even in the first quarter of 2025 where labor hours are down approximately 12%. That continued optimization, knowledge and ability on our behalf is unique to the industry as a whole. We're seeing very good receptivity, not only relative to how those labor hours match, again, customer demand, putting our own very skilled people in front of customers when customers are looking for that level of human interaction. But that's counterbalanced by something very effective that we're doing on our digital platform. As I mentioned, 85% of all customer interactions are now digital. Again, that's customer directed, meaning they're self-selecting whether they're doing an initial lease transaction, their own account management through our broad-based PS app to actually go ahead and use those tools at their election. And with that, we're seeing very good continued receptivity. So, with all that said, we have a very good runway to continue to look for next level labor optimization. As we're doing that, we're also retooling the skill set and the priorities that our field team is able to deploy into their own day-to-day environment that's creating different levels of promotion capabilities, skill capabilities. So, this has been a win-win all the way around, good for customers, good for our employees and good for continued development of our cost structure. So, we're very committed to continue to making additional investments that have been very effective thus far, and we're excited about what's still out there to achieve.
Michael Griffin: Joe, I appreciate the context there. And then maybe from a more macro perspective, I acknowledge you guys had a strong quarter, but maintained guidance. Clearly, there is some market volatility and uncertainty out there. But can you give us a little color on maybe what your expectations are, whether it's the housing market remains muted, job growth might not be as robust as we'd have thought a couple of months ago? How are you overlaying maybe your macro assumptions as it relates to your guidance?
Tom Boyle: Yes, sure. I think there's a number of components there that I'll speak to. As you noted, we had a good quarter. As I highlighted earlier, we do have L.A. headwinds that are coming at us, and we're watching the consumer very closely here. I noted that through April, we've seen strong consumer trends at this point and are encouraged by that. But it is something we're watching closely because as the macro environment can shift, so can demand and customer behavior. We haven't shifted our assumptions that underpin our outlook. But no question, the assumptions that underpin the lower end of the range do have some of the characteristics that you might see in macro weakness, i.e., softer new customer demand, more move-out activity, softer ECRI contribution and the like. And so again, it's something we're watching closely, have been encouraged by what we've seen through April, but we'll have to see how the macro environment plays out from here to be able to adjust and tweak from here.
Operator: Our next question comes from Juan Sanabria with BMO Capital Markets. Please proceed with your question.
Juan Sanabria: Just a theoretical question, I guess, to start, just clearly, housing has come off as a demand driver, but decluttering or an alternative space solution storage is a nice low-cost option. But just curious how you think about looking at the data and the surveys, how things may change, if housing comes back, I'm not sure when or if, but if housing comes back, is that -- would that be additive necessarily? Or do you think some of the customers that have been using it as a space solution, maybe no longer need that? Just curious on those two variables and how they may interplay going forward.
Tom Boyle: Yes. Sure, Juan. I think you're highlighting on a shift that we've seen over the last couple of years. And in particular, we've seen a reduction in new home sale driven or existing home sale driven activity for new customers. At the same time, we have seen that increase in customers that have ran out of space at home and some longer tenure there. Overall, that shift has been an impact to demand. And we think that accelerating new home sales, while you may have some customers that are no longer using space because they ran out of space at home because they upgraded their home and have bought some new space. Overall, that increased level of activity will be a net positive as we think about the demand picture overall. We're not anticipating that, that takes place this year. But as we look at the existing home sale activity, it does feel like we're bouncing around the bottom in terms of that level of activity. Does that come back in '26 or '27? I think it's hard to predict. If you look back at prior housing downturns, it typically takes several years for the housing market to recover. But in aggregate, I consider that a net positive to demand even if you give back a little bit of the folks that have ran out of space at home.
Joe Russell: And I'd just add one -- one other overarching issue is the cost of shelter, again, whether you own, rent or even are going through that transition from, again, ownership to rental or vice versa. It's the cost of shelter that also is an inherent driver because as we've spoken to self-storage is a very sensible financial alternative to not have to commit to that exercise either home that you're acquiring and/or apartment that you're renting. So again, inherent good baseline demand just from a cost structure itself.
Juan Sanabria: And then just as a follow-up. On the third-party management business, how are you feeling about demand for that service and just how successful or not you feel like you've been to date if you kind of met expectations? Or how are you feeling about your efforts in that business?
Tom Boyle: Yes, good question, Juan. That's a business that we continue to invest in and have seen good adoption really over the last several years. It's a business that takes time to grow and we knew that when we were getting in, it's about forming a relationship demonstrating a track record on properties that we're managing for owners and broadening those relationships over time. And so, over the last several years, we have seen a good uptick in demand for that business. I think part of that can be the tougher operating environment, frankly, that we've been living through over the past several years and have taken some assets for new customers, demonstrated our capabilities in that business and continue to grow the groups that they're managing for. So, in line with expectations, we anticipate that, that business will grow from here. In terms of the strategic components for us, no question, it further enhances our scale and our marketplaces grows our brand and, again, deepen some of those relationships with owner groups that we can have dialogue around working together in different manners, including potentially acquisitions over time. So, we feel good about that business and the trajectory that it's on.
Operator: Our next question comes from Eric Wolfe with Citi. Please proceed with your question.
Eric Wolfe: Just a follow-up on Michael Goldsmith question. It does seem like your guidance is implying that the restrictions in L.A. lower your same-store revenue by 200 basis points, at least at some point in the back half. And I think you said earlier this year that the impacted stores are about 10% of your overall same-store. So, I guess that would imply that the restrictions are lowering your revenue by around 20% for those impacted stores. Is that the right way to think about it?
Tom Boyle: I think the way I would think about it is the impact, I don't want to minimize the fact that we did see an impact in the first quarter, we were complying with these rental rate restrictions. They are -- they impact both new customers and existing customers. That impact will grow over time as we move through the year. And in aggregate, will be 100 basis points. So, I don't -- I don't want to communicate that the impact will be so weighted into the back half, which I think what you're getting to, you are going to see some impact in the first quarter, second quarter and in through the fourth quarter and ultimately some into the first quarter of next year, that's not obviously in that 100 basis points number. But before that, state of emergency is expired or extended.
Eric Wolfe: Okay. And then apologies if you answered this before, but I didn't hear your expenses came in pretty low in the quarter. Can you just talk about where they're trending relative to expectations? And -- and just based on reaffirming your guidance, it would obviously imply that it comes up somewhat meaningfully over the next couple of quarters. I guess why would that happen given some of the expense initiatives that you just mentioned?
Tom Boyle: Yes, there's a few pieces there. One, we did obviously reaffirm our overall expense outlook for 3.25% at the midpoint for the year within the same-store. We did have good expense control through the first quarter. I would expect that to continue in future quarters. But there were some elements in the first quarter that are unlikely to persist. There were some easier comps in property payroll, for instance, related to PM Health plan costs that was kind of an easy comp compared to last year. On advertising, we had advertising down 10%. We'll manage that dynamically through the year and see where that ultimately plays out. But big picture, we continue to drive operational efficiency through the payroll optimizations that Joe spoken to. The other one I would highlight is solar power generation where we continue to invest in solar, and we'll continue to receive the benefits of less utility -- electric utility usage through the year as well.
Operator: Our next question comes from Caitlin Burrows with Goldman Sachs. Please proceed with your question.
Caitlin Burrows: Maybe I was just wondering if you could talk a little bit more about what you're seeing on the ECRI side today, whether there's been any changes or kind of modifications to the strategy recently, how aggressive you are -- maybe that's not the right word, but yes.
Tom Boyle: Yes. Sure, Caitlin. The ECRI program is generally in line with our expectations and very much similar to how we've managed it over the last couple of years, which is we're focused on understanding customer price sensitivity as well as the cost to replace the tenant to the extent that they leave us. And what we've seen over the first part of this year is very consistent price sensitivity, and so that's encouraging and that holds through April as well and a relatively stable cost to replace. And so, the program continues to perform well, and we'll continue to optimize that as we move through the year.
Caitlin Burrows: Got it. And then I guess, of course, each situation ends up being different. But at this point, how would you expect the portfolio to perform in a downturn where the customer might be constrained? Or are there any things we should be on the lookout for or acknowledge is risks?
Tom Boyle: Yes. That's a good question, Caitlin. I think I rattle off some of the areas that we're focused on day-to-day and monitoring the customer behavior. We'd expect in a downturn that we start to see some shifts in customer payment patterns and delinquency. If you go all the way back to the financial crisis, in that downturn, we saw longer-term tenants vacate at a higher frequency. Again, that's something we're watching very carefully and actually saw the opposite in April with a decline in longer-term tenant vacate activities, which is encouraging and likely a shift in new customer behavior as well, meaning you're going to see some of the demand drivers shift back and forth. You're going to see some countercyclical demand drivers driven by dislocation in a weaker macro environment, help buffer some of the procyclical drivers that may soften. Big picture, storage tends to be very resilient in times of downturn because of some of those countercyclical demand drivers as well as the fact that we have month-to-month leases and can recover quickly when demand does turn around. And as it relates to new customers, I'd just highlight we're already coming off a time period where we've seen a significant move in new customer pricing. And so, we're maybe with a little bit of a different setup than we may have other times been in before downturn. So, we feel pretty good about where the industry is set up heading into whatever may come in 2025, given trade policy shifts. And we feel Public Storage is also very well positioned in that backdrop.
Operator: [Operator Instructions] Next question comes from Ravi Vaidya with Mizuho. Please proceed with your question.
Ravi Vaidya: I hope you guys are all doing well. I wanted to ask about acquisitions. It appears that the acquisition is executed on the quarter or on average in the earlier stages of lease up. Do you expect stabilization to take longer today than it may have in the past given lower demand levels? And what is your stabilized cap rate assumption or IRR target for these acquisitions?
Tom Boyle: Yes, sure. So, we did have increased activity in the first quarter, as Joe mentioned, on acquisition volumes. And the dialogue with sellers that we're having is across a variety of different property types, including lease-up assets. And the lease-up behavior that we saw through the first quarter was encouraging, frankly, and in line with some of the commentary I made around the same-store and move-in volumes and the like. So, we've seen good lease-up trends year-to-date. And so, we're not shifting our underwriting methodology or otherwise as it relates to lease-up assumptions from here. But big picture, we're interested in acquiring the full swath of potential opportunities, obviously, depending on market and submarket and physical asset. And so, we were more active in some of the lease-up assets and have confidence in that lease-up trajectory, but we're also interested in more stabilized properties as well and some of what we have under contract is some of that. So we'll see a good mix here throughout 2025 as we go further. In terms of return expectations and cap rates, I would point you to a pretty consistent playing field as it relates to cap rates, which is kind of going in yields in the 5s to low 6s and then stabilizing at a higher level under our platform, but that's been pretty consistent now for a number of quarters. We've had obviously some capital markets volatility over the month of April, and we'll see where ultimately cost of capital shakes out. But as it relates to what's trading today, I'd point you to those same sorts of guideposts.
Operator: Our next question comes from Ki Bin Kim with Truist Securities. Please proceed with your question.
Ki Bin Kim: I just wanted to go back to the topic of how storage would perform in a downturn. And I know it's probably a loaded question because what kind of downturn will we have. But if pricing is already back to, I think, you said 2013, but at least 2019 levels and if housing demand is already not in the numbers as much looking backwards. Why wouldn't self-storage outperform past down cycles?
Tom Boyle: Yes. I think that there's an argument that it could. Obviously, it depends on the flavor and the context of what the downturn is ultimately. But you're pointing to a couple of reasons that would suggest that self-storage could do even better in the past, and we wouldn't disagree with that.
Ki Bin Kim: Okay. And on your retained cash flow, you said $600 million, up 50%. What is -- how does that actually manifest to shareholders? Is it higher dividends or debt paydowns or more acquisitions, but does it change anything at all?
Tom Boyle: Yes. No, that's a great question. What we typically think of is reinvesting that cash flow into the business. We just spoke about the acquisition environment and some of the filing that we've seen through that. But I'd say most prominently internally, the way we think about it is reinvesting that into our development business, which, as Joe highlighted, has good return profile and generally as we look at it, the highest risk-adjusted return profile of our capital allocation alternatives. So, we can pick the site submarket design the building, design the unit mix, put it into our national operating platform and construct it with national bidding processes and our in-house construction team. So, we feel very good about reinvesting that retained cash flow into developments and acquisitions from here, and that will evidence itself in terms of higher FFO growth.
Operator: Our next question comes from Jeff Spector with Bank of America. Please proceed with your question.
Jeff Spector: My first question, I just wanted to ask, I don't think you discussed specifically your business customer. I just want to confirm, have you seen any recent changes with that customer? Can you remind us the percent overall in the portfolio business customers, if that's possible?
Joe Russell: Yes, Jeff, the approximate range of our business-to-consumer business. So, consumers make up plus or minus 85% of our customer base. And then business-related customers are about 15%. The number is not precise because some customers don't necessarily identify as businesses. But the range that we see is typically about that. Some properties actually may have a higher percentage of business customers based on location, trade area, proximity to other types of economic centers in any particular submarket. We really have not seen anything meaningfully different between the two groups. They're both typically very good customers, particularly once they become aged. We have a number of business customers to my point around the benefits of a particular location may be inherent to why they continue to store with us in and out of multiple year periods. And we service our overall customer base in very similar ways. Some business customers require different access hours, et cetera, and we can be accommodative on that front, too. But overall, a good percentage of the portfolio plus or minus about 15% and haven't seen any degradation at all in this environment.
Jeff Spector: Great. And then my second question, I just want to confirm -- it sounds like you're seeing strength across the portfolio. But please confirm, I guess, we'll talk about markets with stronger income versus lower income or stronger -- higher density versus lower density, are you seeing any differences in the month of April?
Joe Russell: I wouldn't be able to point to any differences in the short-term period, Jeff. Again, very broad-based. Most of the markets that we operate in, we have a combination of both dense and maybe more suburban orientation as well as a whole host of different customer economic types, again, based on the trade area that any particular property is in. But frankly, we really haven't seen a differentiation come through at all. It points to the overall health and resiliency of the business and the variety of ways customers continue to gravitate toward using self-storage, whether it's first time and/or customers that continue to keep their space with us.
Jeff Spector: Okay. If I could just ask one more. This April, how does it compare typically to what you see in April from a historical seasonality standpoint?
Tom Boyle: Yes. I would point back to the comments that Joe made earlier around, we're not anticipating to see a typical seasonal pattern this year. And I would say that that's consistent with what we've seen year-to-date. I think we've seen some closing of the occupancy gap, but I think that's more just broad-based demand bouncing off the bottom than it is anything that you would point to seasonally. And so, I'd say, generally speaking, similar to last year in terms of seasonal trends. But overall, a little bit better demand trends year-to-date.
Operator: Our next question comes from Eric Luebchow with Wells Fargo. Please proceed with your question.
Eric Luebchow: Great. So, I wanted to ask about M&A. I know you're not going to comment directly on the Abacus deal, but as you think more broadly, are there opportunities out there in other developed international markets given your experience with Shurgard, whether it's more-broad in Europe and Canada or in the APAC region, just thinking about how you can export the PSA operating model into other countries.
Joe Russell: Yes, Eric. I mean clearly, we've proven that we are capable of doing just that, meaning exporting many of the things that we've learned over our 50-plus years here the U.S. and how that may or may not be transportable into certain international markets. To your point, Europe and the experience we've had with Shurgard there has been a great opportunity for us to learn as they've adopted at their election, a whole host of things that we've been able to guide them to if, in fact, it suited the particular level of optimization they're looking for in whatever particular country may or may not be applicable. And we've continued to study different markets outside the U.S. Certainly, we've gotten to know the Australian market well over the last several years based on the experience we had five-plus years ago with an early interaction there. And as Tom mentioned, we are very encouraged and like the opportunity that we see with the Abacus Storage King portfolio in Australia and New Zealand. There are other markets out there that we're going to continue to study and look for potential opportunities. What makes sense for us, more typically than not, is going into a new market outside of U.S. borders that may have many of the things that we can more immediately impact, which would be scale, some kind of an operating platform that again has some proven attributes and the way that we can infuse our own capabilities and platform optimization that we do here day to day into those kinds of platforms outside of borders. So, the Abacus opportunity is just that. And hopefully, we'll continue to find more over time.
Eric Luebchow: I appreciate that. And just one follow-up on the guidance. I think, last call, you talked about occupancy being down about 10 basis points by the end of the year. And just wanted to confirm that. And I guess, based on the trajectory of how this year has played out so far through April, are you kind of in line or running ahead of internal expectations at this point on occupancy?
Tom Boyle: Yes, Eric, just to clarify, what I communicated in February was the midpoint assumes that occupancy on average would be down 10 basis points. And so, we're tracking right along with that based on year-to-date performance.
Operator: Our next question comes from Tayo Okusanya with Deutsche Bank. Please proceed with your question.
Tayo Okusanya: Yes. Just a quick one on street rate. So down 5% in 1Q, down 8% in April. I'm just trying to understand, like relative to one of your peers, where in 1Q, street rates were somewhat flat relative to the Yardi data where you're going to kind of flattish, maybe down a little bit. You guys seem to still be using street rates or using street rates in a different way to maximize revenue, if I may use those words versus what one of your peers are playing anything to be doing now. I just wondered if you could talk a little bit about that in terms of why this is a better strategy versus kind of what the industry seems to be moving towards of street rates kind of flattening year-over-year at this point?
Tom Boyle: Yes, sure. I think there's a number of components there. I won't speak to what others are doing. I'd just highlight we consistently are looking to optimize towards revenue over time, and that's a combination of both occupancy and rate or as you think about it on move-ins, move-in volume and move-in rates obviously, paired with advertising as well as promotional discounts as well. So that's a dynamic process that occurs at the unit and property level and one that we have a lot of confidence in, in terms of our ability to execute on that objective over time given the breadth of data and experience that we have in operating in our markets. I think looking at the first quarter, for instance, our rates -- move-in rates were down 4.6%. That's a move-in rent, just to be clear, not a street rent. So that's an actual rent that a customer is paying. And the volume that we picked up in the quarter was healthy such that the net -- so the contract revenue or contract rents gained from move-ins was down 2.3%. And so that's an improvement from where we were in the fourth quarter, which demonstrates the stabilization that we're seeing on move-ins. But to us, it's not really a rate discussion or a volume discussion. It's really both as we're looking to optimize revenue over time.
Tayo Okusanya: That's helpful. And if I may ask one more question, again, just given again how soft overall housing market remain, and if that's not going to be a real big driver. Just curious as you guys pull your tenants about why they're moving in? Any sense just in regards to all the other typical drivers if any of those are kind of higher than usual or somebody to kind of give us a sense of how thing doesn't come back, there may be these other drivers that may actually absorb some of that demand that's not getting from housing? Just kind of curious to kind of see anything like that, that kind of makes us a little bit better that you could still have decent demand even if housing doesn't come back this year.
Tom Boyle: Yes. I think our expectation is not that 2025 is a year of strong housing recovery. So, I think you're right that not likely to be a big driver. But I think what we've seen year-to-date is more broad-based demand across the other factors, which, again, existing home sale-driven move-ins are about 15% of our activity. So, the other 85% is driven by a whole host of other demand drivers. And we've seen that, that level of demand has bounced across the bottom and bounced off the bottom. I wouldn't highlight one particular driver there, more broad-based improvement off the bottom here.
Operator: Our next question comes from Mike Mueller with JPMorgan. Please proceed with your question.
Mike Mueller: Real quick. Just going back to development for a second. Can you tie together, I guess, the comments that a little bit earlier where you talked about the lowest move-in rents you've seen since 2013. And kind of tie it to development economics today considering that costs have moved up. And I guess, are you running into more and more situations where the math just doesn't pencil out? Or you're more accepting of lower going in yields because you see longer-term growth? I mean, how do we think about tying those two together?
Tom Boyle: Yes. No question you're highlighting what's been a challenging development environment, and that's what Joe was highlighting earlier. I think industry-wide, we're expecting that overall levels of supply are likely to continue to come down because of some of the factors that you highlighted and Joe highlighted earlier. I think against that backdrop, we've challenged our team and they've been executing on a plan to find those submarkets, where there's a good mix of new demand that's coming in where it makes sense for us to plant a new Public Storage flag. And again, pick that submarket, design that building and ultimately construct that building at a good cost given our national buying platforms and plug it into our operating platform. In terms of the underwriting or otherwise, we're not lowering our return expectations or targets in this environment. But we certainly are experiencing some of the challenges that others are as well. But we certainly have the balance sheet and retain cash flow and a deep team to execute against some of those challenges.
Joe Russell: Yes. And Mike, just one other part of the equation that goes into development in our sector. I mean, the vast majority of it is done on a one-off, very localized basis. And to the point Tom just made, constraints that developers now have is dealing with not only what rate level they may or may not be able to achieve in this environment, but the cost structure, et cetera. And they're playing field is probably not very far and wide. I mean they are going to be very focused on the individual market that they are operating in or trying to develop in. So, what we have very differently is the opportunity to go in and out of different markets where we see these pockets of opportunities that with our own data and our own level of confidence and underwriting capabilities, we're still seeing good opportunities with far less competition to look for attractive development opportunities. So that continues to play for us. And frankly, we continue to be more encouraged that we can expand our development capabilities based on that.
Operator: We have reached the end of the question-and-answer session. I'd now like to turn the call back over to Ryan Burke for closing comments.
Ryan Burke: Thank you, Rob, and thanks to all of you for joining us. Have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.